Operator: Good day and welcome to the Yext first quarter fiscal 2020 earnings conference call. All participants will be in listen-only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Conrad Grodd, Vice President of Investor Relations. Please go ahead.
Conrad Grodd: Thank you Sean and good afternoon everyone. Welcome to our first quarter fiscal 2020 conference call. With me today are, Howard Lerman, CEO of Yext, Steve Cakebread, CFO and Jim Steele, President and Chief Revenue Officer. Before we begin, I would like to remind everyone that this call may contain forward-looking statements, including statements about revenue and non-GAAP net income guidance, margin, cash flow, market opportunities, capital expenditures, geographic expansion, business performances, financial outlook and other non-historical statements as further described in our press release. These forward-looking statements are subject to certain risks, uncertainties and assumptions, including those related to Yext's growth, evolution of our industry, price development and success, market opportunities, adoption of accounting principles and general economic and business conditions. These statements reflect the company's current expectations based on its beliefs, assumptions and information currently available to it. Although we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that occur after this call. Descriptions of these and other risks that could cause actual results to differ materially from these forward-looking statements, are discussed in our reports filed with the SEC, including our most recent report on Form 10-K and our press release that was issued this afternoon. During the call, we will also refer to non-GAAP financial measures. Reconciliation with the most comparable GAAP measures are also available in the press release, which is available at investors.yext.com. With that, we will begin by turning the call over to Howard.
Howard Lerman: Well, hello everyone and welcome to our earnings call. And I would like to especially thank Conrad. We are excited to have you onboard for the next major revolution of Yext and we thank you all for being here. We are pleased to report yet another record quarter for Yext. We are on track to achieving another record year. With these great results, there are a ton of highlights this quarter. Revenue grew 35% over the first quarter of last year. It exceeded the high end of our guidance. GAAP loss margins improved by nearly 600 basis points from the year ago quarter and non-GAAP loss margins improved by more than 900 basis points. And for the third time in the last five quarters, we generated positive operating cash flow. Recently, we unveiled The Yext Building, our global headquarters that's new, located in the tech-centric heart of New York City alongside Google and Apple store. This state-of-the-art facility provides us with space for about 1,000 employees and we expect to move in during 2020. The Yext Building also includes a world-class customer briefing center. We are going to help customers from around the globe understand how to build a single source of truth online for their consumers. And during the quarter, we signed contracts with leading brands like Daimler, Famous Brands, Rogers Communications, [indiscernible], Sephora, WH Smith. And we signed expansions and renewals with Choice Hotels, Jaguar, Land Rover, Allstate Insurance and Adidas and in German, that's Adidas. These brands recognize there is a massive paradigm shift happening in the world of search from keywords to questions. This shift has retrained consumers to simply ask for what they want. No longer do they have got to browse through websites to get answers to their most important questions. The consumer has moved from browsing to asking. And when they ask questions, they expect specific relevant answers about companies and products, professionals, locations, services. The fact is, today's customer journey starts with a question and consumers expect answers. But what happens to the customer journey when they get the wrong answer or chaotic results or missing info? Reputation is at stake and brands risk losing their business to succeed in this new world and answer customer demand. Brands must become what we call answers-ready. Let's take a step back. The Holy Grail in consumer marketing has always been to reach the right customer at the right time with the right information to incite an action that converts to a sale. For decades, companies have been learning more about our customers, their customer, starting with their demographics. We knew where they lived, their age and their gender, but not a lot. Then as technology progressed, we began to track specific purchases against specific customers and we gained insight to their buying patterns, their product usage, even their personalities. And then, we started to understand consumer behavior if they use keywords to search the web. We knew what they were doing in real-time, but we didn't know when they were going to do it or why they were going to do it. We have never been able to track true consumer intent, but now we can. As consumers continue to just ask for what they want, now they are displaying more and more intent. And as a result, marketers aren't just optimizing for keywords anymore, there are now new ways to optimize marketing around this new intent because consumers are asking questions. This change in consumer behavior is leading to a change in how marketers do their job. Now we can market to our customers based not on who they are, what we can guess about their psychology, but on literally what they just asked for. So we find ourselves at the dawn of a new age, intent marketing, where we can meet the customer at that exact moment of intent. Marketers who meet their customer at the moment of intent with accurate information sell more stuff. This leads to better brand reputation and increased revenue. And our friends at Conductor ran a study that proves this. They ran a study that showed a search that's multi-word. It's a multi-word question, which by the way, is a strong indicator of intent, converts at 2.5 times that of a single keyword search. So intent marketing means opportunity and opportunity leads to revenue. And that's where Yext comes in. Yext makes it possible to provide verified answers for consumers seeking the truth about brands. Our technology-enabled companies that take advantage of intent marketing by enabling them to implement brand- verified answers everywhere consumers search. So they can meet the customer at the moment of intent. Yext puts brands in the line of search with brand-verified answers and leading brands around the world are implementing brand-verified answers to become answers-ready. Now being answers-ready has three parts. First, they need to build a complete knowledge graph. This is a brain like database that stores all the data about a business. Second, they need to be able to answer questions themselves on their own website with intent pages and answer pages and a great site search. And third, they need to be able to answer questions everywhere, Google, Alexa, WeChat, anywhere people are asking in any language around the world. Our founding principle that the ultimate authority on a business should be the business itself is more relevant than ever and our continuing innovations in new technology are now enabling consumers to get brand-verified answers whenever they search with a question. Yext provides a single source of truth for companies online. Our customers have put more than 200 million authoritative facts into our platform. With our mission of perfect answers everywhere, Yext is leading brands into the future of search. We have been doing this for more than a decade. We always have and we always will. And speaking of that, I would love to now turn the call over to our President and Chief Revenue Officer, Jim Steele.
Jim Steele: Thanks Howard. We are really excited about the great start we have had to the year, especially after our strong performance in Q4. And we continue to see signs of momentum across the geographies in the vertical markets. This is true in both enterprise and in mid-markets. In enterprise, we signed more than 50 new logos this quarter, including leading brands in travel and hospitality, food, healthcare, financial services and retail. And with all of these new customers, we are seeing the level of our executive sponsor increasingly be at the CMO and the CEO level. I am also really excited that Patrick Blair has joined us as Executive Vice President of our Global Commercial Business. Patrick is an accomplished cloud software veteran with more than 20 years of experience developing and leading go-to-market teams. We worked together at Salesforce for 10 years. Patrick was instrumental in building the commercial business unit there to over $2 billion. At Yext, he will be responsible for mid-enterprise and mid-market sales and services around the world. It's an honor to work with alongside Patrick again. I am really excited about that. Now I will turn the call over to Steve Cakebread to walk you through the quarter in more detail. Steve?
Steve Cakebread: Okay. Thank you Jim. It was a strong Q1. We are pleased with our start to the year even though the first quarter is when we typically see lower volume to new business. A quick note before I get into the numbers. I just want to remind you that we adopted ASC 606 last quarter and this quarter 842 for our lease accounting. Our first quarter revenue grew 35% to $68.7 million, above the high end of our guidance and we continue to see growth from both new and existing accounts. Our net revenue retention, both overall as well as in enterprise and mid-market, remain consistent with last quarter's levels. Unearned revenue, which we formerly reported as deferred revenue prior to adoption of 606, increased 53% from the year ago period to $125.4 million. And as of April 30, we had $256 million in remaining performance obligations or RPOs. That's down from the fourth quarter balance, because of typically seasonality of first quarter business flow. Our total backlog, which includes another $36 million of revenue that's under contract but subject to accounting exclusions, on that basis, we have $292 million in estimated future revenue under contract. When we look at profitability, gross margins were 76% this quarter, an increase of 110 basis points over the first quarter last year. And gross margins this quarter benefited from the timing of certain publisher fees. That being said, we remain comfortable with gross margins remaining in the mid-70% range. Operating expenses this quarter increased at a rate less than our rate of revenue growth. This highlights how we continue to realize efficiencies and economies of scale. Total OpEx increased from $55.1 million last year to $71.5 million this quarter. As a percentage of revenue, we saw improvements in all three lines of OpEx, sales and marketing, R&D and G&A compared to the first quarter last year. When looking at our net loss, first quarter net losses increased from $17 million a year ago to $19 million this quarter. But on the basis of 106.5 million weighted average basic shares outstanding, net loss per share of $0.18 this quarter compares to $0.18 loss a year ago. Non-GAAP net loss, excluding stock-based compensation, improved 37% from $9.1 million a year ago to $5.7 million this quarter. And non-GAAP loss margin of 8% in the current quarter was a substantial improvement from the 18% of revenue in the year ago quarter. Our GAAP loss margin was 28% in the current quarter and improving nearly 600 basis points from the 33% of revenue last year. Our non-GAAP net loss of $0.05 per share this quarter compares to $0.10 in the year ago quarter and was $0.04 favorable to the high end of our guidance. Keep in mind, approximately $0.01 of this relates to the higher share count from our recent equity offering in March where we issued seven million shares. The offering had not been reflected in the guidance we gave you in last quarter's call, so our share count is a bit higher than the guidance. Please refer to the press release we issued this afternoon for a reconciliation of GAAP to our non-GAAP results. When you look at the balance sheet and cash flow, cash, cash equivalents and marketable securities totaled $284 million. This was an improvement of approximately $160 million from the year ago balance and is due to a combination of the proceeds from the offering, but as well, positive operating cash flow. Net cash from operations was breakeven this quarter as we were last year at this time. We have achieved this even as we continue to expand our workforce and invest in new facilities across the globe. This further demonstrates how our business model is capable of generating healthy cash flow. Over the remainder of the year, we expect we will continue to invest in people and facilities. For example, earlier this May, the lease up on our new global headquarters in New York commenced. We need to do some work to get this space ready for our move-in next year and expect to see some of those cash impacts over the next few quarters. We continue to expect to increase our CapEx spend over the next two years for new and existing facilities around the world. Let's take a look at our expectations for next quarter and the rest of the year. In the second quarter, we expect revenue of between $70.8 million and $71.8 million. And in the same period, we anticipate non-GAAP loss per share of between $0.12 to $0.14, which reflects the investment that we need to make in facilities and people. This assumes a weighted average basic share count of approximately 111.8 million shares. Turning to the full year, we are raising the revenue midpoint up by $1 million to an expected range now of $297 million to $300 million in revenue. And we are maintaining our existing non-GAAP net loss per share range of between $0.40 and $0.44. This is based on an assumed basic weighted average share count of approximately 111.9 million shares. I would like to take a moment to thank James Hart for the great Investor Relations foundation he worked hard to lay over the last two years from Yext IPO to today. We owe a great deal of gratitude for him and all he has done for Yext and fully support him on his next adventure. At the same time, I want to welcome Conrad Grodd. Both he and James have worked to make a seamless transition. And Howard, I believe you want to close out with some important reminders.
Howard Lerman: Yes. It wouldn't be an earnings call without me pitching some events here. So let's go ahead and do that before we open up for questions. I want to remind you, we have two big events coming up. The first is actually next week. So if you are in the United Kingdom, we would love to see you at our iconic, it's at the iconic London Science Museum on Wednesday, June 5, from voice search and autonomous vehicles to the future cities and virtual reality. We are going to take a look at the current state of intelligent services and their effect on businesses today and beyond. You can still join us for a few slots remaining open along with thought leaders from Google, Jaguar Land Rover, Air France and more than 500 customers, partners and prospects. And second, I would love to remind you all of ONWARD19. It's taking place this fall on October 29 and 30. Registration also is open where our theme this year is the Future of Search. This will be our largest conference ever and we are taking over the Marriott Marquis in New York City to host it. We had it last year at Jazz at Lincoln Center, where we put on Who Killed Jim Steele and unfortunately, they can't hold our size anymore. So we are going to the Marriott. More than 1,600 of our customers and partners and investors will hear from world-class speakers. They are going to share insights into the way consumers are searching for brand-verified answers and this year we had to add more capacity, because last year it was standing room-only. ONWARD has sold out every year and this year ticket sales are running ahead of last year. So act now, while supplies last. If you are interested in either, please visit events.yext.com or onward19.com to register. We hope to see many of you there. And with that, operator, we will now open up the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Koji Ikeda with Oppenheimer. Please go ahead.
Koji Ikeda: Nice quarter, guys. Thanks for taking my questions. A question for Howard or Steve. So brand-verified answers. We have been hearing more about this concept recently. So I wanted to ask you a couple of questions on the topic. I guess, first part is, have organizations out there really realized the importance of accurate information and answers yet? Or is there a lot of evangelism that still needs to be done out there? And then part two is, overall in your view, could unverified or inaccurate answers through search become a problem that really gets worse before it gets better in the near term? And then finally, why is solving the problem of having accurate brand-verified answers so difficult to do?
Howard Lerman: I will start with two of the last one. And by the way this is Howard. Koji, brand verified answers, it comes from search. Search is the number one channel for most businesses in the planet. Google has become every businesses' homepage. When you search for any brand, when you search for any product, any service, Google gives you the answer. And as a result of the paradigm shift from keywords to questions where people don't just type single query keywords anymore but they ask more and more specific questions, Google is giving answers back and so it becomes paramount for every brand to do this. There's no question around the world, we continue to need to do more evangelization. But at the same time, we are benefiting from a paradigm shift. A paradigm shift from keywords to questions and from search links to answers. Across the world, we see higher level conversations with CMOs and CEOs who are aware of the fact that their brand is everywhere and that they need to be able to answer questions to be able to meet that consumer's expectation. There's nothing more powerful for a marketer than intent marketing. And the ability to reach a customer when they ask a question with a very specific answer with exactly what they want is going to lead answers-ready brands to be able to sell more stuff and drive more revenue. And the ROI is clear and proven from being able to do that. Last, why is it difficult? Well, we live in a world of lot of information and the information is changing all the time. Anybody with a connection to the Internet can publish anything they want on the Internet and it's pretty easy to do it. And so you can cloud out information even if you are not the authority on that. Our founding principle at Yext is that the ultimate authority on a business is the business itself. The vehicle for delivering that information has always been a company's website. But websites are structured upside down. Websites were made for the early adopters for 20 years ago where you would start in a homepage and navigate down to get your answer, which takes a bunch of clicks. But when now people search for questions in Google or whatever services they are using, the way that these websites need to be constructed to answer these questions is flipped upside down from today's current paradigm.
Koji Ikeda: Got it. Thank you very much for that. Super helpful. And then just one follow-up for me. A question for Steve. Okay, so you beat the top end of your fiscal 1Q revenue guide by about $1.7 million, but only raised the bottom end of the full year guide by a few million. I wanted to dig into that a little bit more. Is that just conservatism there? Or is there something else going on in there that we should be aware of? Any sort of color there would be helpful? And thank you for taking my questions?
Steve Cakebread: Yes. Koji, thank you. Yes, I think we are at the beginning of our year. We are pretty thoughtful about having big quarters in the second half of the year. The business is doing great. I mean, we had a great Q1 even despite the seasonality. We have a really strong and growing pipeline. So no hidden agendas here. It's just how we approach giving guidance.
Operator: Our next question comes from Brent Bracelin with KeyBanc Capital Markets. Please go ahead.
Brent Bracelin: Thank you and good afternoon. Two questions, if I could. Howard, I will start with you. My question is on the Adobe integration. I think you announced that a little back in March. What type of customer feedback are you hearing so far on Adobe integrations? And perhaps talk a little bit about the opportunity with Adobe longer term?
Howard Lerman: Look, we want to partner with all different kinds of companies in our application directory, our app directory. And clearly many companies use Adobe to manage their content. And the ability for a company to be able to pump content that's unstructured into a structured way and then serve pages from Adobe or serve pages from Yext as a use case that many of our customers wanted and many of our customers have also asked to have the analytics, which are very rich coming back from Yext appearing alongside the Adobe Analytics. So the ability to do that is two core use cases that we have seen and tons of big brands use this. But it's a side-by-side type of thing and we see a future where every company has their sort of CMS to manage all their unstructured content and then uses a company like Yext to build their knowledge graph.
Jim Steele: Sorry.
Brent Bracelin: Are you gearing more towards the larger customers then?
Jim Steele: Hi Brent, this is Jim Steele. About a month-and-a-half ago, we attended the Adobe Summit out in Las Vegas and we were a platinum sponsor. It was the first year we have done that. And what we realized is that all of Adobe's customers, all of our customers are Adobe customers as well and we have a complementary solution. Adobe is one of the best companies in the world at helping companies build their websites and we are the best company in the world to help make sure how that rich content on their website gets pushed out to all the different digital endpoints out there in the digital ecosystem. So we are really complementary and had such an exciting event out there. So they are a great partner and we expect to do a lot more with them.
Brent Bracelin: Great. Very helpful. And then my follow-up here, just for maybe you Jim or Steve, is really around net new customer adds. I think you talked about 50 enterprise logo adds this quarter. If I look back over the last year, that's a little bit below the quarterly cadence we saw last year, but you still put a pretty big number. So how should we think about just that 50 count a little bit below the quarterly cadence we saw last year? Is this business being driven now by greater expense? Are we just having kind of a little bit of a slow start to the year relative to the new logo adds? Walk us through that trend line there and what it means to the business. Thanks.
Jim Steele: Yes. Thanks for that question. And you are right, the 50 compared to last year is what you are referring to. First of all, the enterprise business, we are dealing with very large kind of Global 2000 companies and we have got a great install base now of these companies. So a lot of our business is now coming from upsells to existing accounts and of course we want to do both. We want to do the new logos and the upsells and some quarters we are skewed towards upsells and some quarters we are skewed towards new logos. And I think you will see that kind of vary quarter-by-quarter. But you are right, we are happy with the results and a lot of that business came from upsells in the first quarter. You saw the big number of new logos that we posted in the fourth quarter. It's just really a function of the kind of the lumpiness of enterprise sales. That's really what we are referring to. We are excited about our install base and lots of opportunity there to continue to grow that as is the opportunity for new logos.
Steve Cakebread: Yes. Brent, I would take a look at unearned revenue growth at 53%. It's a pretty great quarter for us in that. So maybe looking forward, Jim said it, we have said it a couple of times, Q1 in the software industry is always a little bit lumpy here. But we feel really good about the results. We put up great numbers, particularly after such a strong Q4. And so I think we have got a great year ahead of us and we are just going to be thoughtful about how we guide and what we do here. But good strong business ahead of us.
Operator: Our next question comes from Naved Khan with SunTrust. Please go ahead.
Naved Khan: Yes. Thanks a lot. A few questions from me. Maybe you can break out the growth in the business ex-SMB? How the growth looked like in this last quarter? And then also, can you talk a little bit about the growth in international? How it performed versus the domestic?
Howard Lerman: Yes. On the SMB, it's still as a percent of our revenue, obviously the revenues we are getting becomes less and less. It's still roughly in the 40% range as well. So no real substantial changes there, other than as a percent of revenue it's going down because the rest of the business is growing. International had good business. I think Japan did well. And the U.K. had strong business too.
Jim Steele: Yes. Naved, Howard mentioned some of the brands. Like a lot of these brands that he mentioned in the enterprise were international brands. Famous Brands, it's Africa's largest fast service and casual dining restaurant with 2,900 locations in Africa and the U.K. WH Smith, anyone that travels a lot, especially well, any airport internationally you will see WH Smith. They have 100 or 1,000 locations. It's a big British retailer. Daimler from Germany, obviously. Rogers Communication in Canada. Adidas.
Howard Lerman: Well, after I spoke Chinese on an earnings call a few quarters ago, I was told to never speak foreign languages again on an earnings call. And so that's why I didn't try to attempt the German which I also do speak but --
Jim Steele: Adidas.
Howard Lerman: Adidas. [FOREIGN LANGUAGE]
Jim Steele: And Adidas, 19 countries that we are powering their information, their public information and they just expanded to China. Jaguar Land Rover, 55 countries. So these are all international brands that's really exciting and we really just started that international business two years ago.
Naved Khan: Very helpful. That color definitely helps. A quick follow-up, if I can. On the mid-size, congrats on the hiring of Patrick there. Can you just maybe talk a little bit about where you are with respect to maybe your own internal timeline in terms of ramping that up and how the pipeline looks there?
Jim Steele: Sure. Well, yes Patrick, we worked together for many years at Salesforce and he helped drive that whole commercial business unit there, which is a big, very big part of the Salesforce business and we really only started that business about a year-and-a-half, two years ago and Dave Lehman's been running that and he's done an amazing job. In fact, Dave and Patrick are very close friends. Both worked together at Salesforce and Patrick actually hired Dave at Salesforce and Dave was the main recruiter for getting Patrick into Yext. So it's all coming around from our Salesforce experience. But Dave, two of the top priorities I have got is hiring and building the pipeline demand gen. And on the demand gen side, Dave Lehman is going to be 100% focused on building that pipeline and driving the demand, because it's such an important part. We have got to feed all the hires that we are hiring right now and Patrick pretty much has carte blanche to hire anybody and everyone he can, of course, at a very high quality in the mid --
Howard Lerman: And Jim approves that hire.
Jim Steele: Yes. Well, Patrick has --
Howard Lerman: If he gets that approved.
Jim Steele: Patrick has a pretty good rolodex out there and has great contacts and people he has worked with. So we are already hiring aggressively. He has only been in the company, I think two weeks now maybe, a little over two weeks. So he is doing great and we are going to ramp that mid-market and mid-enterprise. And the way we define that is, is the company is up to about 300 entities, which could be defined as locations, professionals, all the different entities that we are now driving. So it's an exciting and high growth part of our business that we expect to see tremendous growth from.
Operator: Our next question comes from Alex Zukin with Piper Jaffray. Please go ahead.
Alex Zukin: Hi guys. Thanks for taking my questions. So maybe just two for Steve. So I wanted to just maybe dig in a little bit to the OpEx guide implied for 2Q. I think if I look at my numbers, that implies some meaningful increase in sales and marketing as a percentage of revenue. So maybe just walk through how we should think about that? And then any opportunity for us to get a better sense for the shape of deferred revenue through this year? Should it be closer to last year where we saw low single digit sequential growth in 2Q and then decline in 3Q? Or more like two years ago? And then finally, just any more granularity about how we should be modeling operating and free cash flow for this year given some of the investments we’re making?
Steve Cakebread: Yes. A couple of good questions. Well, as you heard and we have said many times, we are still investing in sales and marketing. We are trying to make sure that we don't get too carried away here though. But as we bring on sellers, they will start to deliver revenue for us. I am not sure I would change much there. Keep in mind too, we are hiring R&D people as well. So I think what you have seen in the models we have, we feel pretty comfortable about that and we are hiring in G&A, because we have got to support all the offices that we put together. So it's across the board hiring and it's continuing to look at efficiencies like you saw in Q1, but it's also focused on making sure we are set up to continue to grow this business. In terms of the profile of unearned revenue, you know a couple of things to keep in mind that, although it's not impacted dramatically, 606 does move some of those numbers around. I am not sure that I will speak to what the profile looks like going forward, because I am not guiding on that nor am I guiding on cash. You do know and we have said that we will use cash for our facilities and our hiring this year. So I wouldn't get too out of my skis in terms of we are going to continue to be driving towards cash flow positivity in certain quarters. And keep in mind, Q3 has ONWARD as Howard described and that's typically a very large cash use both for our marketing events but also obviously for starting our facilities. So that's about as far as I want to go with that. We are focused and continue to drive towards breakeven on non-GAAP and breakeven on cash flow. But it's also important when we see these opportunities and you start to hear about the product offerings for the second half that we invest into those marketing opportunities.
Operator: Our next question comes from Stan Zlotsky with Morgan Stanley. Please go ahead.
Mark Randall: Hi. This is Mark Randall, on for Stan Zlotsky. Thank you for taking my questions. So I just wanted to dig in a little bit more into one of the questions that was asked earlier, on the bump in the low end of the guidance range for revenue for the year, I believe Q1 last year also saw, it actually had a raise in full year guidance instead of just the lowering of the range. Is there any changes in the way guidance was formed this year? Anything we should be aware of in how that guidance was given?
Steve Cakebread: No. As I said to the previous caller, we feel really good about the year. But we are very thoughtful about this is the start of the year, not the end of the year. And there's a lot of things going on in the global markets that we have to pay attention to. But from our standpoint, strong pipeline, Jim's hiring people like crazy and we are getting up to speed. So no real issues in our business. But we are going to be thoughtful about the long year ahead of us.
Mark Randall: Great. Thanks so much.
Operator: Our next question comes from Brett Knoblauch with Berenberg Capital Markets. Please go ahead.
Brett Knoblauch: Hi guys. Thanks for taking my question. Really wanted to touch on the mid-market, so I guess for Jim or Steve. Just I guess, talk a little bit about how that's going versus your expectations? And then do you guys plan on disclosing in the future a similar way in how you disclose your new wins from your enterprise customers?
Jim Steele: Yes. We will talk about, obviously, some of the nice wins. The accounts and dollar size are obviously smaller, that's why they are mid-market. I think you have to understand that we are just starting the investment in mid-market. We have to hire a number of sellers. So this isn't like an instant on. It's not going to change your game or your models or your numbers over the next year. It takes a while to get this started. And the one good thing is as we have said before, mid-market sellers ramp up quicker and they generate faster deal, but the deal size is in the $10,000 to $50,000 range. So just know that we are getting started. Know that I think it's a great complement to the enterprise business, because as we have described, enterprise is very lumpy and time dependent. And we are hoping that as we get going here, mid-market is a huge opportunity for us with the product offering. I am really excited to be working again with Patrick, as he has well worked with me at Salesforce when we got started and I think we are building a great team there. But it takes some time to get the momentum going.
Steve Cakebread: I am particularly excited about mid-market because to Koji's first question around why this is a hard problem to solve? If you are a mid-market customer and you don't have resources to put into an IT department, you pretty much are not going to be answers-ready unless you use the Yext or a competitor to Yext. So the opportunity, if you have a website, you need to be answers-ready.
Howard Lerman: Yes. I totally agree. It's a great opportunity for our customers.
Brett Knoblauch: Thanks Steve. Thanks Howard.
Steve Cakebread: Yes.
Operator: Our final question comes from Zachary Schwartzman with RBC Capital Markets. Please go ahead.
Zachary Schwartzman: Hi. Thanks for taking my question. Revenue growth accelerated nicely this quarter on a tougher comp. But longer term over the next several years, what product catalyst would it take to perhaps further accelerate or maintain this growth? Is it Yext Brain? Or if not products, is it just further traction internationally? I would love to hear some updates on Yext Brain and some of the other products you are working on. Thanks.
Howard Lerman: Zach, thanks for asking a question about products. I love to answer these. Look, we believe, as I just said a second ago, that every, if you have a website, you need to be answers-ready. And the fact is that really until pretty recently, Yext has only been able to support the location entity which is natively built into our platform and synced around the world across our network. But with the rollout of Brain and the ability for a company to build their knowledge graph, we are going to be able to make companies answers-ready by, one, letting them build their complete knowledge graph, not just for the location entity, but for anything they want, whether if you are in the financial industry you would be able to put in your credit cards and your mortgage rates. And so as people begin to ask questions about hey, what's the mortgage rate for this exact type of mortgage or what's the APR in this credit card? The second thing we want to be able to do and this gets to new product is the ability to answer that question. And we believe that there is a big opportunity to offer a company a complete answers-ready solution that lets them answer that question directly on their own website. And we previewed that at ONWARD last year, our ability knowledge search to be able to answer that question with a sort of site search or finder type of product. And then the third thing is, of course, putting those answers everywhere. And so as our company, as the world of search changes, the world's search changes from people just typing in keywords to asking more detailed questions, more entities are going to flow into Yext so that every company builds a bigger knowledge graph. And I think we said we now have 200 million, more than 200 million facts in Yext. Companies are putting more and more facts in which enables us to offer better answers to their questions. And of course, we just got to add and continue to get this to all the logos around the world, which is why we are hiring sellers in markets in our CBU in Japan, in Germany, in Southern Europe and the United Kingdom and Canada so that we can address this huge market to make every business in the world answers-ready. So we are going to grow through companies adding more entities into their knowledge graph, which we only recently have been able to allow them to do. We are going to grow by having additional products like our site search answers product and we are going to grow by adding new logos and then helping them implement that with [true search] and professional services on top of that.
Conrad Grodd: And that concludes today's earnings call. Thank you everyone for joining us and we look forward to seeing you throughout the quarter.